Operator: Good day, and welcome to the News Corp. Third Quarter Fiscal 2021 Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Mike Florin: Thank you very much, Todd. Hello, everyone, and welcome to News Corp.'s fiscal third quarter 2021 earnings call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identifies risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I will pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. While some nations including America are spasmodically emerging from the ravages of the pandemic, other regions continue to suffer profoundly. We certainly hope that the vicissitudes of the virus will abate and trust that all on this call are navigating these perplexing times safely and securely. I must again salute the people of News Corp, as they continue their extraordinary work for the company and for their communities in these demanding circumstances. Their efforts, their expertise and their endurance have yielded strong results for our company and for the millions of people who find comfort and inspiration and illumination from the news, information insight and entertainment our businesses around the world deliver each and every day. It is further testament to the efforts of all in News Corp that fiscal year 2021 has been defined by improving revenue trends and flourishing profitability. In fact in strictly financial terms, this year is on a trajectory to be the most successful since our reincarnation in 2013 in profitability, highlighting how much the character of the company has evolved over that period. Patently, the strategy of simplifying the asset mix, the vigorous pursuit of digitization, the disciplined cost reductions and the investment focus on three growth areas: Digital Real Estate, Dow Jones and Book Publishing have proven to be particularly fruitful. You will have noticed that since our last earnings call in February, we announced three significant acquisitions that we firmly expect will immediately increase revenue and EBITDA upon closing. The first being Investor’s Business Daily to be operated by Dow Jones; the second was Houghton Mifflin Harcourt's Books and Media segment, which will become part of HarperCollins; and the third was Mortgage Choice by REA Group, which will add heft to their Mortgage Broking business. And since our last earnings announcement, we have reached historic and lucrative deals with Google and with Facebook, as we continue our campaign for equitable and substantial compensation from the big tech platforms for our premium journalism whether in text, audio or video. The three-year Google deal is global and involves the creation of a subscription platform, ad revenue sharing and partnerships in audio journalism, as well as video journalism on YouTube. That agreement is evolving well and should be a platform for further cooperation between our companies in the future. The Facebook deal also for three years involves leading metro newspapers in Australia and a large array of regional and local mastheads as well as Sky News Australia and will have a material and meaningful impact on our business in Australia. This deal is in addition to that launch with Facebook in the US in 2019, involving Dow Jones and the New York Post. We are yet to reach agreement with Facebook in the UK and hope that reason will descend imminently. We note the UK. is chairing the G7 and applaud the diligent and intelligent work of Andrea Coscelli and the Competition and Markets Authority, which has developed great insight into the digital landscape and will play a crucial role in drafting a G7 response and in raising social and commercial consciousness. As the terms of trade change, we can expect to see tangible benefits flow to those who report and distribute news to the public. And I am confident that will include publishers large and small, urban and rural, in many countries and in many languages. For us in Australia, the deals will obviously improve the results at our newspapers but also enable us to hire journalists to improve the coverage in underserved regions and communities. Finally, before turning to the quarter's results, I would like to highlight the successful completion of our inaugural bond offering, which was multiple times oversubscribed at an attractive coupon and thus a resounding vote of confidence in the company's strategy and its prospects. As for the third quarter of fiscal year 2021, I am pleased to report that we achieved nearly $300 million in profits, up 23% year-over-year. We have now had three successive quarters of double-digit profit increases and we strongly believe these rather positive results reflect an increase in our core profitability. Revenues in the third quarter exceeded $2.3 billion, representing a 3% increase from the prior year. Turning first to the resolutely robust Digital Real Estate Services segment, Move's revenue growth was 37%, exceeding Q2's 28% growth. Move and realtor.com's value to News Corp to the real estate industry and to consumers is becoming more obvious with each passing quarter. Overall, Digital Real Estate Services revenues were up 34% year-over-year and segment EBITDA surged 58%. realtor.com traffic growth has outpaced that of Zillow for 14 consecutive months through March and the significant growth disparity between the two has been widening markedly according to comScore in March. REALTOR's traffic growth outpaced Zillow and Trulia by nearly 30 percentage points. Why this extraordinary growth at REALTOR? Because we are focused on our consumers, whether that be a family buying or selling a house or the agents handling that important transaction. We are not flipping houses. We are not competing with our clients. We are not building up a stock of bricks-and-mortar inventory. We are not worrying over the wallpaper or fretting over fences or stuck up on stucco. We are absolutely digital and devoted to our consumers. This reputational and functional advantage for REALTOR comes at a moment of genuine momentum for the US real estate market. Our internal metrics show that average monthly unique views in the quarter were 44% higher than the prior year and reached 108 million uniques for the month of March alone, a burgeoning of 60% versus the prior year. Not only is realtor.com serving homebuyers and sellers, we are serving renters and landlords as well. We expanded our rentals offering by acquiring Avail, where revenue growth has exceeded initial expectations and we are excited about the opportunity that lies ahead in this lucrative market segment. In Australia, the real estate market is thriving, particularly in Sydney and Melbourne. REA Group, the clear leader in that country's digital real estate sector saw revenues increase by 32%. During the quarter, REA announced that it proposed to acquire 100% of the shares in Mortgage Choice Limited. The proposed acquisition aligns with REA's financial services strategy by leveraging the group's digital expertise, motivated property buyers and data insights across a larger network. At Dow Jones, revenues rose 6% year-over-year and segment EBITDA led an impressive 61%. Overall, advertising which was slightly down in Q2, moved into positive terrain in Q3 with digital advertising 30% higher in the quarter, almost double the growth rate of the New York Times. Digital now represents 61% of all advertising, compared to a ratio of 48% in the prior year. Digital-only subs at Dow Jones and The Wall Street Journal surged 29% and Dow Jones digital-only net adds in the quarter, exceeded those of the New York Times for its new subscriptions. MarketWatch is achieving record-high revenues and is now benefiting from multiple revenue streams, with the successful launch of its subscription offering in October. Risk & Compliance reported growth of 24% in the quarter, marking 23 consecutive quarters of double-digit expansion. This strength underscores R&C's value as a global leader in data intelligence, including in anti-money laundering, anticorruption and commercial risk assessment. With increasingly stringent demands from the US government and bodies around the world for strict compliance and heightened emphasis on ESG, we believe Dow Jones Risk & Compliance is perfectly poised to benefit. If anyone on this call would like to minimize risk or maximize compliance, please do reach out. Meanwhile we are on the cusp of integrating Investor’s Business Daily. That deal closed this week and we expect IBD will provide innumerable opportunities for cross-selling and upselling with the Dow Jones portfolio of products. IBD will also be a source of important expertise and insight, as 90% of its revenue is digital and the company has a compelling lucrative suite of software products. Book Publishing is another engine of growth for News Corp, as HarperCollins continued on its extremely positive trajectory with 19% revenue growth in the quarter, compared to a year earlier and segment EBITDA surging 45%, as both our powerful backlist and notable front list performed strongly. One of the standouts in the third quarter was the Bridgerton series, which is now the most successful series of HarperCollins in fiscal 2021. Other strong performers included The Boy, the Mole, the Fox and the Horse by Charles Mackesy and Cicely Tyson's memoir Just as I Am. The power of the HarperCollins substantial backlist in Q3 reinforces our enthusiasm, the anticipated integration of the newly acquired Houghton Mifflin Harcourt Books and Media segment, which should close in Q4. This acquisition will greatly expand the HarperCollins backlist with an additional 7,000 titles, including such monumental works as The Lord of the Rings Trilogy, Animal Farm and 1984; and loved children's books, like Curious George, The Polar Express, The Little Prince and many, many more. We look forward with eager anticipation to Amazon's production of J.R.R. Tolkien's works due in coming years. As with HMH, we will have acquired the US rights to that extraordinary collection and will now own the global English language rights. As Tolkien himself wrote, the greatest adventure is what lies ahead. Today and tomorrow are yet to be said. In Subscription Video Services, our strategy to rapidly expand streaming has been transformational for Foxtel. The express growth of Kayo and Binge, together with Foxtel Now, saw a number of paying OTT subscribers reach approximately 1.6 million as at the end of March. That represents a doubling of streaming subscribers over the past year alone, an extraordinary achievement. In total, Foxtel closing subscribers grew to a record of over 3.5 million, up 21% year-over-year, driving a significant increase in profitability. Kayo Sports has helped make Foxtel, the preeminent home of sports in Australia, with a record 2.2 million sports subscribers. Of these, Kayo accounted for 851,000 paying subscribers, as at March 31, more than double the prior year, where it was 408,000. In recent days, Kayo exceeded one million total subscribers, with paying subscribers expected to reach that milestone imminently. A strong summer of cricket and the start of the dominant winter sports saw Kayo generate more momentum. This was supported by our recent agreement with Telstra, which has seen Kayo replace Telstra Live Pass in the AFL Live app and NRL official app, making Kayo the exclusive streaming home of the extremely popular Aussie Rules and Rugby League competitions. Not yet one year old, the Binge entertainment streaming service reached 516,000 paying subscribers, up nearly 20% on the second quarter. Binge has established consistent weekly subscriber growth, underpinned by the growing awareness of the Binge brand, the popularity of hit shows such as The Flight Attendant, The Walking Dead and Zack Snyder's, Justice League and it's deserved reputation for a user-friendly tech savvy access to the world's best content. Foxtel's resurgence during the pandemic, coupled with the continuing value of its broadcast product, the rapid growth of Kayo and Binge and a relentless focus on cost transformation have delivered a much enhanced financial performance that certainly gives us flexibility and optionality. In the News Media segment, revenues declined somewhat as expected. The difference was entirely attributable to the sale of News America Marketing and the restructuring of regional and community titles in Australia, most of which became digital-only properties. In the UK, circulation revenues increased, while The New York Post continued revenue growth, driven by strong expansion in digital advertising. Finally, I want to express my enduring gratitude for the thousands of people who work at News Corp around the world, for their creativity, their commitment and their collaborative spirit, which has been a guiding force as we navigate through the uncharted turbulent waters of the pandemic. The past 12 months have seen record profits in many of our businesses, a strong reinforcement of our digital imperative and particularly potent performances by the three sectors that we had targeted for expedited growth. It is clear that our investors are increasingly embracing that strategy and profiting from that strategy. And now, I turn to Susan Panuccio, for words of financial wisdom.
Susan Panuccio: Thank you, Robert. Fiscal 2021 third quarter total revenues were over $2.3 billion, an increase of 3% versus the prior year, while total segment EBITDA was $298 million, up 23% year-over-year, reflecting strong performances across our key segments. Our three core pillars, Dow Jones, Digital Real Estate Services and Book Publishing collectively grew segment EBITDA by 55% versus the prior year. On an adjusted basis, which excludes the impact from acquisitions and divestitures, most notably the sale of News America Marketing in the fourth quarter of fiscal 2020, as well as currency fluctuations and other items disclosed in our release, revenues rose 4%, while total segment EBITDA grew 24%. Net income for the quarter was $96 million compared to a net loss of $1 billion in the prior year, which reflects the absence of a noncash impairment charge related to Foxtel and News America Marketing in the prior period. For the quarter, we reported earnings per share of $0.13 as compared to a net loss per share of $1.24 last year. And our adjusted EPS were $0.09 in the quarter compared to $0.03 in the prior year. Turning now to the operating segments. Digital Real Estate Services segment revenues were $351 million, an increase of 34% compared to the prior year, which was more than double the growth rate we saw in the second quarter. The performance was driven by another record quarterly performance at Move together with improvements at REA as well as the Elara consolidation and positive impact from foreign exchange fluctuations. On an adjusted basis, revenues increased 22%. Segment EBITDA rose 58% to $117 million or 52% on an adjusted basis, the fastest quarterly growth rate in nearly four years. Move's revenues accelerated to $162 million, a 37% increase year-over-year with real estate revenues rising 43%. Move contributed $36 million or 84% of the segment EBITDA growth this quarter the highest contribution to growth to the segment for the fiscal year. Realtor.com's traffic increased to 98 million average monthly unique users in the third quarter reflecting a year-over-year increase of 44%. Notably in March, REALTOR's unique users eclipsed 100 million the first time, reaching over 108 million unique users up 60% compared to the prior year. Monthly average lead volume remained very strong growing over 40%, which was higher than the second quarter rate despite continued inventory constraints across the industry. We saw very strong growth across both the traditional lead generation and referral businesses in the third quarter with a notable acceleration from the second quarter rate in the growth of Connections Plus our traditional lead generation product, which benefited from higher traffic and lead volumes higher retention rates and improved pricing. These results underscore the success of our strategy of choice and flexibility. Revenues from the referral business continued to grow strongly, representing 25% of total Move revenues lower than the first half mainly due to the acceleration in the traditional lead generation business coupled with the seasonality impact. Overall, the drivers behind the performance of the referral model remained similar to the prior quarter with continued strong transaction volumes, higher home pricing and stable to higher referral fees. As we mentioned last quarter, we expect to continue reinvesting in Move primarily in marketing and product development balancing continued improvement in profitability with revenue growth. We are pleased to see strong growth across both as the team accelerates the pace of innovation and new products as we expand into adjacencies. Turning to REA Group. Revenues at REA rose 32% to $189 million, reflecting a $28 million or 19% positive impact from currency fluctuations and a $7 million from the acquisition of Elara. Australian national residential listings for the quarter rose 8% with Melbourne up 13% and Sydney up 5% with growth rates improving throughout the quarter. New developer project launches increased by 14% compared to the prior year. REA's results also benefited from an increase in residential debt revenue despite the absence of a price increase this fiscal year as part of REA's COVID-19 support initiative. Like REALTOR, REA is benefiting from record traffic with realestate.com.au hitting an all-time high of 137 million monthly visits in March, up 60% year-over-year and buyer inquiries are also at record high. Please refer to REA's earnings release and their conference call following this call for more detail. Turning to the Subscription Video Services segment. Revenues for the quarter were $523 million, up 13% versus the prior year and included a $79 million or 17% positive impact from foreign currency fluctuation. Adjusted revenues were down 4% continuing the improving trend through the fiscal year as the expansion of OTT revenues partially offset the declines in broadcast subscription revenue. Total closing paid subscribers across Foxtel were over 3.5 million as of March 31, up 21% versus the prior year as the team focused on maintaining its premium broadcast customers while the Kayo and Binge streaming services delivered subscriber growth at scale. The comparison versus the prior year was helped by the absence of the initial impact of COVID-19 and the launch of Binge in the fourth quarter. Total paying OTT subscribers expanded to nearly 1.6 million paying subscribers, up 120% compared to the prior year with Kayo reaching 851,000 and binge at 516,000 paying subscribers. Including trialists Kayo and Binge reached 914,000 and 679,000 subscribers respectively, which is indicative of the strong consumer interest in each of the product's unique content set. Kayo's growth has been enhanced by the recent agreement with Telstra to replace Telstra's Live Pass with Kayo, accelerating the penetration and adoption of the product. While the revenue impact from the addition of former Live Pass customers will be minimally new one at the agreement due to the pricing promotion, we see this partnership as a unique opportunity and window to introduce Kayo to a new audience. Residential broadcast subscribers declined 12% from the prior year to over 1.7 million and commercial subscribers also declined 12% to 235,000. However, the trend improved sequentially as COVID-19 restrictions continue to ease particularly in pubs and clubs albeit the accommodation sector remains challenged. Broadcast churn was elevated at 20.1% versus 17.5% in the prior year as the team continued to balance churn with revenue optimization. As a result ARPU continued to rise both year-over-year and sequentially, partly mitigating broadcast subscriber volume declines. Broadcast ARPU rose 2% to over AUD 80 or US$62. Segment EBITDA improved 34% to $91 million and was up 13% on an adjusted basis. The improvement was driven by $22 million of lower sports programming rights and production costs, as well as lower transmission marketing and employee costs. Finally, on Foxtel, they refinanced their existing AUD650 million revolving credit and working capital facilities and extended the maturity out 18 months to May 2024 at a slight price improvement. Moving on to Dow Jones, Dow Jones delivered another outstanding quarter with year-over-year growth for both revenue and segment EBITDA accelerating versus the second quarter and the first half rate. Revenues for the quarter were $421 million, up 6% compared to the prior year with digital revenues accounting for 74% of total revenues this quarter, up six percentage points from the prior year. Circulation revenues again rose 8% due to the growth in digital circulation revenues partially offset by lower single coffee and amenity print volume, which is still impacted by COVID-19 restrictions. Dow Jones continue to post record subscriptions with nearly 4.3 million average subscriptions to its consumer products in the quarter, up 19% from the prior year. Of that nearly 3.3 million were digital-only subscriptions reflecting 238,000 sequential net adds and 29% year-over-year growth. For the Wall Street Journal, there were approximately 3.4 million average subscriptions for the quarter, up 21% from the prior year with digital-only subscriptions growing 29% to over 2.6 million. Revenues from, Dow Jones Risk & Compliance grew 24% improving from the Q2 rate and was the fastest growth since the first quarter of fiscal 2020. Overall, Professional Information Business revenues rose 9%. Within Professional Information Business Risk & Compliance was the largest source of revenue this quarter for the first time on record and is now approaching $200 million in revenues for the full year, compared to approximately $160 million in fiscal 2020. Advertising revenues which accounted for 20% of revenues this quarter, grew 1% to $85 million a marked improvement from the 4% decline last quarter and was the first growth since the first quarter of fiscal 2020. As Robert mentioned, digital advertising revenues had the fastest growth in a decade, up 30% and accounting for 61% of advertising revenues for the third quarter. It is worth noting, that this level of growth came despite, a tough prior year comparison of up over 20% which at the time was a record quarterly performance. Encouragingly, the growth was again broad-based with notable gains in the financial services category. We saw growth in both volume and yield particularly in direct display. Print advertising revenues declined 25% year-over-year, which was an improvement from the 29% decline in the second quarter. Dow Jones segment EBITDA for the quarter rose, 61% to $82 million with margins expanding close to seven percentage points versus the prior year. Total costs declined 2% this quarter which was better than we had expected, mostly due to lower print volumes and other discretionary savings partially offset by higher compensation costs. Our Book Publishing HarperCollins posted 19% revenue growth to $490 million and 45% segment EBITDA growth to $80 million, reflecting another very strong quarter and continues to benefit from the industry-wide increase in consumption. Like the second quarter, revenue growth was again broad-based and was led by the general trade, children's U.K. and foreign language categories. The backlist was the key driver this quarter, accounting for 62% of sales, led by very strong sales from the Bridgerton series, by Julia Quinn. Similar to previous quarters, we are continuing to benefit from a strong rebound in e-books with sales up 38% year-over-year and gains in all categories, while downloadable audio books increased 42% year-over-year. Overall digital sales were up 38%. HarperCollins again demonstrated strong operating leverage. Despite a 15% increase in total costs in part, due to royalties and higher production expenses related to the successful top line performance margins improved by three percentage points. Turning to News Media, we continue to remain focused on rightsizing the cost base and moving towards digital within the segment. Revenues for the quarter were $550 million, down 25% versus the prior year of which, the impact from the divestment of News America Marketing accounted for the majority of the decline. On an adjusted basis revenues declined only 7%, which is an improvement from the 9% decline last quarter. Decline also reflects the $28 million or 4% negative impact from the closure or transition to digital and certain regional and community newspapers in Australia. Circulation and subscription revenues rose 13%, driven by a $26 million or 10% benefit from currency fluctuations, strong digital paid subscriber growth and a couple of price increases partially offset by, lower newsstand sales related to COVID-19. Advertising revenues decreased $215 million or 50% compared to the prior year, reflecting a $199 million or 47% negative impact from the divestiture of News America Marketing and a $23 million or 5% negative impact related to the closure or transition to digital of certain regional and community newspapers in Australia. The remainder of the movement was driven by, favorable foreign exchange partly offset by the continued weakness in the print advertising market, exacerbated by COVID-19. Advertising performance was mixed across the regions with Australia showing moderating declines compared to the second quarter rate, particularly driven by increased retail spending. While the U.K.'s year-over-year performance weakened mostly compared to the second quarter impacted by another lockdown which started at the end of 2020. In the U.S., the trends remained robust with the New York Post posting 21% advertising revenue growth of which digital advertising grew 32%. Segment EBITDA for the quarter was $8 million compared to $24 million in the prior year, due primarily to the absence of the contribution from News America Marketing. Adjusted segment EBITDA increased by $5 million. In our other segment, the third quarter costs were higher than we expected, primarily driven by higher equity compensation due to the rising share price and the initial investment spending related to the implementation of our global shared services initiative. I would now like to talk about, some themes for the upcoming quarter. As noted in the past call, forecasting remains challenging given the ongoing global COVID-19 pandemic. At Digital Real Estate Services national residential listings in Australia for April were up 98% compared to the prior year. While the market dynamics are strong these growth rates are exaggerated by the severe COVID-19-related declines experienced in April 2020. Please refer to REA's press release and earnings call for more details. At Move, we remain very encouraged by overall trends and expect the revenue momentum to continue. We continue to expect additional reinvestments at Move in areas such as, brand marketing and product development as we focus on gaining market share and expanding into adjacencies. In Subscription Video Services, we have seen broadcast churn trends moderate during April. And we remain encouraged by strong OTT demand from Kayo and Binge. We expect EBITDA results to be challenged, due in large part to the lapping of the prior year cost savings. As a reminder, the prior year's fourth quarter results included $70 million of lower sports programming costs, mainly due to the suspension of sporting events, as a result of COVID-19. For the current fiscal fourth quarter, we expect to incur those rights which will be impacted by the rising Aussie dollar versus the U.S. dollar as well as some additional costs for further OTT investments. At Dow Jones, overall revenue trends remained favorable compared to the prior year, including strong digital advertising growth. As mentioned last quarter, we expect to reinvest in the business, as we focus on driving revenue growth through its digital assets and expect second half expenses to increase modestly compared to the prior year. In Book Publishing, overall industry trends remain favorable, but we continue to monitor closely the sustainability of recent consumer spending patterns, such as the increasing free time for consumers to read and the increase in the average number of books purchased. We continue to expect performance to moderate in the fourth quarter, in part, due to the strong performance in the prior year, which benefited from increased consumer demand at the onset of COVID-19 lockdowns, and restrictions as well as the successful release of Magnolia Table, Volume 2. At News Media, we expect continued improvement in the fourth quarter, as we lap both the impact from COVID-19 and the sale of News America Marketing in May 2020. Cost decline should moderate, as we lap COVID-19 saving initiatives as well as the divestment of News America Marketing and the closure or digital transition of some of our newspapers in Australia, in the fourth quarter of fiscal 2020. We expect overall profitability trends to improve. And we expect modest revenue impacts from our new licensing agreements. In our Other segment, we expect the fourth quarter cost to increase around $20 million versus the prior year in-part due to the reduction of bonuses in the prior year, higher share price and the costs related to the global shared services initiative. Our year-to-date free cash flow available was $762 million compared to $63 million in the prior year, benefiting from higher EBITDA, improvements in working capital and lower CapEx. Some of the working capital improvement is timing related, but we're very pleased with the progress made to date. Also note that the fourth quarter balance sheet will reflect the proceeds from our recent senior notes offering, together with the three recently announced acquisitions, which will impact our interest expense and cash balance. With that, let me hand it over to the operator for Q&A. 
Operator: Thank you. [Operator Instructions] Also management has asked that you limit yourself to one question. [Operator Instructions] And we'll take our first question from Alan Gould with Loop Capital.
Alan Gould: Thanks for taking the question. Robert, these results at REALTOR are quite impressive. Can you just look out three, five years and give us some sense of what the opportunity is for Digital Real Estate in the United States?
Robert Thomson: Well, I'm not sure I'm that precedent and I certainly don't pass myself off as a soothsayer. But we are firmly of the view that real estate properties make us the world's leading digital property company. And we also are firmly of the view that we have vast potential for growth, given the markets in which we operate and given our successful acquisition strategy. And equally, we are firmly of the view that the full value of our digital property assets and their potential is not yet entirely recognized in our share price. We now have a global leadership of our real estate assets with Tracey Fellows and her appointment itself was a sign of our intention and our ambition. And she's not just working through ideas for the future. She's driving the business and seeking out new opportunities, such as cities, such as rental and such as other adjacencies that will generate even more momentum.
Alan Gould: If I can just…
Mike Florin: Thank you, Alan. We’ll take our next question, please.
Operator: Thank you. We'll take our next question from Kane Hannan with Goldman Sachs.
Kane Hannan: Good morning, guys. Just in terms of the investment at Move and Dow Jones you've been calling out, should we be expecting investment to step up in the fourth quarter relative to the third quarter? I know you guys, obviously, spoke about this investment in the half year. So just interested how we think about the phasing.
Susan Panuccio: Kane, I'll take that one. So I think, just at REALTOR, if you think about the cost for Q4, we did guide to an additional $40 million of cost in the second half. You probably could assume the bulk of that $40 million that we quoted will hit in Q4. So if you compare that to the Q3 numbers, we also expect those numbers to scale up from a variable cost perspective, given the revenue growth. In relation to Dow Jones, we would expect to see higher costs in Q4, largely as a consequence of compensation and marketing expenditure. But we have been very encouraged by the ongoing cost focus in that business. And as you could see, they had a pretty good cost result for this quarter as well. So probably more investment coming through at REALTOR than what we would expect to see in Dow Jones.
Mike Florin: Thank you. Kane -- thank you, Kane. Todd, we’ll take our next question, please.
Operator: Thank you. Our next question comes from Alexia Quadrani with JPMorgan.
Alexia Quadrani: Thank you. My question's on the Journal, Dow Jones. When you look at the Wall Street Journal digital subscription, do you think that the change in administration here in the U.S. has a positive? Is it a tailwind going forward for future digital subscriptions, or is it a negative, or is it neutral? I'm sure curious to hear how you think the change in the geopolitical environment may or may not influence the digital sub growth there.
Robert Thomson: Well, the key factor for us is the quality of the Wall Street Journal, the quality of the journalism, the quality of the leadership. We have a great team at Dow Jones with Almar Latour and Josh Stinchcomb, our Chief Revenue Officer, who've done a sterling job collectively in developing our digital expertise. So we don't have to worry about a Trump bump becoming a Trump slump, as you might see in other places. The Wall Street Journal's journalism obviously rises above the -- sort of gormless rhetoric the pants-tearing [ph], the jaundiced journalism that you see in some other places. And so, the Dow Jones results certainly rise above those of the New York Times, both in circulation now in the news segment and in digital advertising, which was almost double that of the New York Times. And so, it is in essence the enduring quality of the Journal that gives us momentum. And those are very positive wins that we're seeing now and are confident that we'll see in the future. 
Susan Panuccio: And Alexia, I think, the other thing that is really encouraging for us is, if I look back over the last 10 quarters and the quarter-on-quarter sort of net adds, the net adds that we had this quarter were the second highest that we've had over those 10 periods and so that gives us confidence actually about the ongoing growth potential within Dow Jones.
Robert Thomson: And to further supplement Susan's wise observation, the acquisition of IBD will give us further opportunity to up-sell to cross-sell across both properties. And that's why we acquired the IBD, which is close to closing. And that's why -- and that investment itself was an indication of our confidence in the sector.
Mike Florin: Thank you, Alexia. Todd, we’ll take our next question, please.
Operator: Thank you. Our next question comes from Entcho Raykovski with Credit Suisse.
Entcho Raykovski: Hi, Robert. Hi, Susan. My question is on the other segments. Costs were up circa $50 million in the quarter year-on-year and you're obviously guiding to a further $20 million increase in Q4. I'm just interested in what's driving the incremental uplift relative to the $50 million number which you gave us back in Feb. I mean, is it the share price performance that's driving bonuses? So any color would be useful. And is there an element of catch-up in those numbers? So if we -- as we look into FY 2022, could we expect a stable cost base in other or could there be a potential for a drop as well? Thank you.
Susan Panuccio: Yeah. Look in Q4, we obviously had the absence of some bonuses in Q4 of last year and so we obviously wouldn't expect to see that this year. So we've got that movement that's happening. We also had some of the COVID impacts coming through in Q4. So we did have a couple of one-off cost savings that hit in Q4 of last year which we didn't see repeated -- expected to repeat in Q4 of this year. And we also have the scale after some of the news next step transformation project costs that are going to hit in Q4. So I think when we look sort of going forward, we wouldn't expect to see the large movement that we've been seeing in equity comp. I mean, obviously if the share price continues to go up we'll have that natural fluctuation. So we did have a very depressed share price as a consequence of COVID back in Q4 and so we've been seeing those movements come through this year. 
Mike Florin: Thank you, Entcho. Todd, we will take our next question please.
Operator: Thank you. Our next question comes from Craig Huber with Huber Research Partners.
Craig Huber: Thank you. I want to focus if I could on your IBD acquisition in the book segment. You guys are buying from Houghton Mifflin Harcourt. Obviously, you're spending a little bit over $600 million for the two. I wanted to hear if you agree with this. I mean my take on this, in this environment for you guys to spend over $600 million, which is unlike you. You don't do it too often. And I think you run your balance sheet pretty conservative, you run your company pretty conservative over the years. But for you to do this right now, do you agree with my thought that you must be feeling pretty good, pretty optimistic on the direction of the virus, the direction of the global economies and more importantly direction of your revenues and your great cost containment. When you put it all together that gave you the confidence out there to spend $600 million plus?
Robert Thomson: Craig, look I think that's a fair assessment. We certainly have confidence in our teams and their ability to integrate those acquisitions. We certainly have a fundamental faith in the sectors themselves. And you will see that the financial impact of the acquisitions will be almost immediately positive for both revenue and EBITDA. At both Investor’s Business Daily and Houghton Mifflin Harcourt General Book division are highly profitable. And in Australia Mortgage Choice will surely complement the existing mortgage broking business at REA. And as I mentioned earlier with IBD being 90% digital now, it's extremely contemporary. We will be able to cross-sell and upsell and make the most of our existing content. And there's -- at HarperCollins Brian Murray and the team there's no doubt we have a history of successfully integrating businesses. And so we fully expect profits to increase at both HMH and thus at HarperCollins and thus at News Corp.
Mike Florin: Thank you, Craig. Todd, we will take our next question please.
Operator: Thank you. Our next question comes from Darren Leung with Macquarie. 
Darren Leung: Good morning. Thank you for the update. I just wanted to ask a question around Dow Jones. You obviously talked about the sort of growth trajectory in the Risk & Compliance business. Can you please give us a feel for what the margins look like, not necessarily in FY 2021, but perhaps into the medium term, once you're done investing for The Wall Street Journal versus the Risk & Compliance business please?
Susan Panuccio: We don't give out the margins actually for Risk & compliance. But what we would say is though that they are high margin and they've been scaled. So we are seeing good growth within that particular segment.
Robert Thomson: And as we indicated earlier, the climate for Risk & Compliance is certainly conducive to growth given the advent of US administration that is obviously intent upon increasing regulation and the need for compliance.
Mike Florin: Thanks you, Darren. Todd, we will take our next question.
Operator: [Operator Instructions] Our next question comes from Brian Han with Morningstar. 
Brian Han: Hi. For Foxtel in Australia, you are still investing in marketing and retention of Foxtel broadcast subscribers, or is most of the marketing efforts directly towards Kayo and Binge? 
Robert Thomson: Well we're certainly focused on all segments at Foxtel and we're genuinely delighted by the progress where we have EBITDA up 34%. And the revenue trends are obviously improving. We haven't seen the spindown from broadcasting that some feared. And Kayo is as we mentioned on the cusp of one million paying subscribers with a user base already larger than that and Binge growing week after week after week. And frankly, all underpinned by world-class cutting-edge technology that provides a great user experience. And its financial position overall is much more robust and Patrick Siobhan and the team deserve much credit for the markedly improved performance. That means, we frankly have options real options.
Mike Florin: Thank you, Brian. Todd, we will take our next question please.
Operator: Sir, at this time, we have no questions. I'll turn it back to you for closing remarks.
Mike Florin: Great. Well thank you Todd. Thank you for all for participating. Have a great day. And as always, we look forward to speaking with you all in the very near future. Have a great day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.